Operator: Good day, and welcome to the BIOLASE 2020 Third Quarter Financial Results Conference Call. Today's conference is being recorded. And at this time, I would like to turn the conference over to Todd Kehrli of the EVC Group. Please go ahead, sir.
Todd Kehrli: Thank you, operator. Good afternoon everyone, and thank you for joining us today to discuss BIOLASE's financial results for the third quarter ended September 30, 2020. On the call today from BIOLASE are Todd Norbe, President and Chief Executive Officer; and John Beaver, Executive Vice President, Chief Financial Officer and Chief Operating Officer. Management will review the company's operating performance on the third quarter before opening the call for questions. Before we begin, I'd like to remind everyone that a number of forward-looking statements, which are any statements that are not historical facts, will be made during this presentation, including forward-looking statements regarding the company's strategic initiatives and financial performance. These forward-looking statements are based on BIOLASE's current expectations and are subject to a variety of risks and uncertainties that could cause the company's actual results to differ materially from the statements contained in this presentation. Such forward-looking statements only represent the company's view as of today, November 12, 2020. These risks are discussed in the company's filings with the Securities and Exchange Commission. A replay of this conference call will be available on the BIOLASE website shortly after the completion of today's call. When listening to the presentation, please refer to the news release issued earlier today announcing the company's 2020 third quarter results. If you do not have a copy of the news release, it is available in the Investor Relations section of the BIOLASE website at www.biolase.com. BIOLASE's financial results can also be found in the company's quarterly report on Form 10-Q, which will be filed with the SEC. The tables we've provided in today's news release offer additional financial information, so we encourage you to review them. The tables include a reconciliation of unaudited GAAP net loss and net loss per share to non-GAAP adjusted EBITDA loss and adjusted EBITDA loss per share, as well as the details of the company's non-GAAP disclosures. With that said, I’ll now turn the call over to BIOLASE's President and Chief Executive Officer, Todd Norbe. Todd?
Todd Norbe: Thanks Todd and thank you everyone for joining us this afternoon. We appreciate your interest and continued support of BIOLASE. Let me start with an update on our operations and the status of dental offices as it relates to COVID-19 pandemic. As we have stressed throughout this pandemic, our foremost concern continues to be the health and safety of the BIOLASE community, including our employees, customers, their patients and our partners. We continue to take every precaution to ensure their well-being during this time. Over 95% of dental offices across the country are now reopened. And dental procedure levels are currently at 70% to 80% of their pre-COVID-19 levels. So, a marked improvement compared to when we last spoke in August following our Q2 results. We want to applaud dentists throughout the country as they respond to the pandemic with a sense of urgency, implementing the recommended Center for Disease Control and American Dental Association guidelines, ensuring that they can take care of the patients in a very safe environment. Our Epic Hygiene dental laser meets the CDC guidelines to minimize the risk of COVID-19 transmission, which recommends against using ultrasonic scalers to prevent the transmission of COVID-19. We believe this is a distinct differentiator because traditional ultrasonic scalers create visible water spray containing particle drops of water, saliva, blood, microorganisms and other debris that can serve as a conduit to spread infection and pathogens such as COVID-19. As dental professionals look for ways to comply with the CDC and ADA guidelines, they can rely on our Epic Hygiene laser for laser bacterial reduction therapy. This new indication allows hygienists to perform gentler, highly effective treatments for bacterial reduction and managing periodontal disease without using water. The new BIOLASE laser system, which the FDA cleared in March, was designed by dental hygienists specifically, and is the only hygiene device cleared to manage non-surgical periodontitis through LBR effectively. The Epic Hygiene laser is a significant factor in the increased traction we are seeing with DSOs like DCA, Aspen and Virginia Group. Also are all-tissue Waterlase dental lasers already create 98% less aerosol than traditional handpieces, meeting the ADA's recommendation of reduced aerosol production to limit the spread of COVID-19. With a clinically proven product portfolio that reduces the potential risk of infection pathogens, BIOLASE has a significant growth opportunity as dental professionals seek safer technologies to treat their patients. We believe safer treatment technologies such as ours have led to the U.S. procedures already returning to pre-COVID levels. In addition to safety, which is always top priority, [key] several markets and indicators represent significant growth drivers and gives us increased optimism that BIOLASE and its product portfolio are well-positioned for growth. First, when we look at the DSO organizational market DSOs, there’s proximately 1,300 DSOs in the U.S. representing 16% of total U.S. dental market. We are in active trials with Heartland, the largest DSO in the U.S. ClearChoice, the eighth largest DSOs in the U.S.; Aspen, the second largest DSO in the U.S. We also have initiatives with Dental One and Dental Care Alliance, otherwise known as DCA. We recently announced a significant collaboration with DCA one of the largest DSOs in the U.S. with more than 320 affiliated practices in 20 states. This collaboration includes expanding our laser adoption, which includes our hands on training programs into targeted geographies in the next few quarters. We expect this collaboration to lead to roll-out across all DCA offices by the end of 2021. Second growth opportunities in perio. There are approximately 5,000 periodontists in the U.S. Last quarter the Journal of Periodontology made available online the most or much anticipated landmark study performed by the McGuire Institute on clinical efficacy of patient reported outcomes of Waterlase assisted treatment of periodontitis. The McGuire study unequivocally confirms that patient reported outcomes were significantly better after laser procedures. This was first of a kind study designed to meet the stringent American Association of Periodontology best evidence consensus standards. The study found that our Waterlase repair perio protocol had shorter procedure times than open flaps procedures, as well as less bruising, swelling, and post operative bleeding. Demonstrating that repair is as effective as open flap procedures, but with significantly better patient reported outcomes. We believe this study will establish new protocols for perio surgery and drive further adoption of Waterlase in our target markets. We are equally excited about the release of another study this month from Harvard, which we published in the Journal of International perio highlighting Waterlase technology, treating Peri-Implantitis, which is stalling implants. Additional studies where Waterlase has successfully treated perio disease will be forthcoming from Columbia and UCLA. With 65 million Americans suffering from perio disease these studies and findings are significant in determining the best course of treatment for these patients. Studies continues to suggest that Perio Health is essential to overall health and specifically as it relates to the ability of infection, including COVID-19. Putting this opportunity in dollars, if an additional 20% of periodontists adopted our laser that would generate 50 million in system revenue, which again does not include follow-up consumables revenue. The third that we're looking at and have been focused on is the endodontic market. There are approximately 5,000 endodontist in the United States. Waterlase solves a major pain point for endodontist, addressing the challenge of fully irrigating and cleaning the complete endodontic network of an infected tooth. Top thought leadership is quickly establishing Waterlase as a new standard of care in this area. This quarter we saw the highest percentage of Waterlase systems sales to endodontists in our company's history. If an additional 10% of endodontists adopt our lasers that would equal an additional [$20 million] in system sales, and again would drive follow-up consumable sales. It is in-concert with top endodontic thought leadership has established the Waterlase endodontic Academy that provides Virtual Training, specifically for endodontists to help further drive adoption.  Fourth is the hygiene market. There are approximately 200,000 hygienists in the United States with the epic hygiene laser I mentioned earlier, BIOLASE allows hygienists to perform gentler, highly effective treatments for bacterial reduction in managing periodontal disease. This new BIOLASE laser system is the only FDA approved preventative perio treatment protocol and has a return on investment of only three months. If our market penetration in a hygiene market increases by only 5%, that would equal to an additional $70 million in system sales, which again does not include consumable sales that would follow. These opportunities highlight our path to growth in the years to come. The current all tissue laser market penetration in the U.S. dental market is only 7%. Every 1% increase in adoption of laser technology in the U.S. equals over $50 million in revenue opportunity for BIOLASE. As we work to expand adoption, we continue to offer our Waterlase Mentoring Experience or WME. This program puts training first by allowing general dentist to have first-hand experience with our technology and applications through the use of experienced mentors in a group learning environment. The WME experience shares with participants the power of incorporating this technology within their practice, with a practical approach of hands on training that is applied when they returned back to their own office. All this, with a mentor to support them along the adoption journey. We initiated three WME during the third quarter of 2020 and expect to increase these throughout the fourth quarter and into 2021. One of our key initiatives is to expand the WME program to more cities next year with the help of increased marketing efforts to raise awareness. We expanded our test marketing this past quarter in Phoenix, in South Carolina, which resulted in an increase in interested participants, including 10 dentists in Arizona. We also are in the final stages of launching a co-marketing program with BMW performance driving in 2021. Under that program, any dentist who attends a WME event in 2021 will enter to win a BMW leased for a year. And any dentist who buys a Waterlase system after attending at WME will be invited to attend a customer appreciation event at the BMW performance driving school. We are excited about this opportunity and partnership in promoting these two iconic brands side-by-side. Given the challenging time all dentists have faced since the beginning of pandemic, we have launched a new financing program last quarter called BPP or BIOLASE Partnership Program to help dentists get back on their feet. This program allows the dentist to use our laser technology, generate revenue, and not make a single payment until 2021. It also provides an in-office training that eliminates the need for travel in today's environment. While COVID-19 certainly presents uncertainty, we continue to be very excited about the market opportunity in front of us. We believe our laser safety benefits puts us in a perfect position to advance dentistry and treat patients in the safest possible way. We have created a healthier operating company with the many positive changes we have made over the last year and a half to improve our cost structure and build our talent bench. These positive changes already started to show in our margins due to improved COGS, price discipline, and OpEx controls. We now have the commercial infrastructure in place to capitalize on the growth opportunities in front of us, while this growth won't happen overnight, and COVID-19’s uncertainty is still unknown. We are confident in our business plan and continued progress as we're making towards achieving our goal returning to growth. I am proud of the BIOLASE workforce as they have rallied without question to deliver the technology products and services that our customers need and the value in these unusual times. We remain committed to offering solutions for dental professionals looking to treat their patients in the safest possible way. With that said, now I’ll turn the call over to John for a review of our third quarter financial results in more detail. John?
John Beaver: Thanks, Todd and thank you all again for joining us this afternoon. Now, let me review the numbers. While the COVID-19 disruption continued to impact our business during the quarter as total worldwide revenue decreased 24% year-over-year to #$6.5 million, we did see a significant sequential improvement driven by the re-opening of dental offices across the United States and the return of dental procedure levels to 70% to 80% of their pre-COVID-19 levels. Sequentially, our third quarter revenue more than doubled. U.S. laser revenue for the third quarter of 2020 increased 16% year-over-year to $2.7 million, compared to $2.3 million in the third quarter a year ago. U.S. consumables and other revenue for the third quarter of 2020, which consists of revenue from consumable products such as disposable tips, increased 25% from the third quarter of 2019. Internationally revenue for the third quarter of 2020 declined 52% to $1.8 million, compared to $3.7 million in the third quarter 2019. This decline in revenue is primarily attributable to the COVID-19 economic shutdown.  We believe the dental offices in the U.S. have generally been quicker to return to prior patient volume than the rest of the world resulting in better comparative revenue results in the U.S. Gross margin for the third quarter of 2020 was 35% compared to 34% in the year ago quarter. The higher gross margin reflects higher average U.S. selling prices for our lasers, and a higher percentage of overall U.S. sales compared to total company sales where gross margins are higher, partially offset by decline in revenues relative to our fixed cost. Total operating expenses for the third quarter of 2020 decreased 24% to $5.9 million, compared to $7.9 million in third quarter a year ago. The continued reduction in operating expenses year-over-year represents the benefits of the cost rationalization efforts that we implemented throughout 2019 and 2020. Sales and marketing expenses declined $0.8 million or 24% year-over-year in the third quarter due to reduced compensation related expenses due to lower sales and reduced travel and travel related expenses and reduced tradeshow related expenses. General and administrative expenses decreased $0.9 million or 28% sequentially year-over-year in the third quarter. This year-over-year decrease was primarily due to reduction of our allowance for doubtful account accruals along with lower payroll and benefit cost. Engineering and development expenses decreased $0.2 million or 15% year-over-year in the third quarter. Operating loss for the third quarter of 2020 was $3.7 million, compared to an operating loss of $4.9 million in the third quarter of 2019, an improvement of 25% year-over-year. Net income for the third quarter of 2020 was $12,000 or less than $0.01 per share, compared to a net loss of $5.5 million or $0.25 loss per share for the prior year's third quarter. This improvement was primarily due to the non-cash revaluation of our warrants issued in the third quarter as part of our rights offering. As a reminder, our earnings release includes a reconciliation between unaudited GAAP, net loss, and adjusted EBITDA. We believe adjusted EBITDA provides a useful measure of the company's operating results by excluding depreciation and amortization expense, stock comp expense, change in allowance for doubtful accounts, and expenses related to disposal of the internally developed software and the cost of our patent litigation settlement a year ago, along with excluding the impact of the warrant revaluation I just mentioned. The adjusted EBITDA loss for the third quarter of 2020 was 2.5 million, which excludes these items, a 10% improvement over the third quarter a year ago. Our basic and diluted share count at the end of the third quarter of 2020 was 81.3 million shares, compared to 21.9 million shares in the year ago quarter. [Audit End] Now, turning to the balance sheet. Cash, cash equivalents, and restricted cash totaled 19.2 million as of September 30, 2020, and includes the proceeds of the rights offering completed in July, which was oversubscribed and resulting gross proceeds of the company of $18 million before deducting fees and expenses related to the rights offering. As a reminder, they 18 million does not include proceeds that may be received by the company from the future exercise of warrants that were included in the rights offering. While taken action to strengthen our balance sheet, the current situation is still challenging, and we remain focused on liquidity cost containment, and as always improving cash management strategies. We believe our current liquidity position and our cost containment efforts provide us with sufficient capital to execute our growth strategy in this environment effectively. Having said that with COVID-19 there remain too many unknowns and when we can achieve this growth now depends on how quickly the U.S. international markets return to some level of normalcy. While we're all dealing with the current impact of COVID-19, I want to reiterate we are confident that our actions to strengthen BIOLASE are working. Our long-term prospects for growth are significant as dentists and patient’s worldwide look for solutions that allowed them to provide and receive dental treatment in the safest and best way possible. This concludes our prepared remarks. I'll turn the call back over to the operator to open the call for questions. Thanks.
Operator: Thank you. [Operator Instructions] And we will take our first question. This will come from Kyle Bauser with Colliers Securities.
Kyle Bauser: Great, thanks. Hi, Todd and John. Thanks for all the updates here. So, nice sequential growth and looks like the business is back to above pre-COVID levels in the U.S. at least. So, I think you said, overall procedure volumes in the U.S. are down 20% to 30%, but your U.S. businesses is up nearly 20%. So, obviously the nice benefit as it relates to reducing aerosolization has been key, how about internationally? What are the procedure volumes out there? And how does it relate to your [OUS business]? Is the reduction in aerosolization internationally maybe not as big as a concern over there? Or, how should we think about that business?
Todd Norbe : Yeah, Kyle, This is Todd. So, rest of world really hard to get a good finger on, you know, what's happening across all the different geographies. But I would tell you that, you know the level of shut down that we're seeing in dental offices, you know, in rest of world does not mirror what we're seeing in the U.S. So, I think it's really around practices being back in business in the U.S. As I mentioned, you know, probably 95% plus are now operational, even though volumes to your point are down 20% year-over-year. If I had to guess, I would say rest of world if you had to lump it all together, it is probably, you know, half of that based off of the Intel that we have from you know, our international team.
Kyle Bauser: Got it. That's helpful. And, John, you mentioned in the prepared remarks, we've obviously seen a nice reduction overhead here and appreciate the commitment to get into EBITDA breakeven, and it's a tough environment to kind of forecast here. I know COVID is still here, but, you know, I'll ask it anyway, any sense as to your new timeline on maybe getting there and hitting that breakeven point?
John Beaver: Yeah, so Kyle, you know, we're not going to forecast, especially in this environment. As I said, a couple of quarters ago, now is not the time to start giving guidance, right. But we do see a path to get to EBITDA positive, as early as, you know, fourth quarter next year. And so when we look at our liquidity position, cash position, you know, projected revenues, we think we have sufficient liquidity to get there to that point. And so that's our target. Of course, a lot depends on, you know, how the COVID-19 situation shakes out, not only in the U.S., but the rest of the world over the next, you know, 3 months to 12 months.
Kyle Bauser: Sure. Got it. And just a couple more here, any open territories or, you know, goals for adding new reps. 
Todd Norbe: So, as I think we mentioned last time, we had one open territory. We're close to filling that one open territory. Right now we're going to look to stay with the current footprint of sales that we have, as things you know, open up and we have probably more confidence on what's happening, you know, in 2021, around COVID, and we'll evaluate adding additional headcount, if we can get the return on investment we're looking for.
John Beaver: Okay, Kyle, I think the one thing – the one thing I would add there also is, at least in my three years with the company, this is the first time that we've had a earnings call that we haven't had any rep changeover from the prior earnings call. In other words, all 22 reps that we have where here, you know when we talked a quarter ago, which is a good sign. I think. And what we talked about in the past that we're hiring the right people. Now realize that, you know, some of that has to do with the overall your market condition in the dental space, but we're really happy with the team we have now.
Kyle Bauser: No, excellent. It's good to hear. And maybe just lastly, regarding the BIOLASE Partnership Program, which is, you know pretty nice, I think for new users, because they don't have to make any payments until next year, how is this program going? Are most of the new placements taking advantage of it?
Todd Norbe: Yes. Almost all of the Waterlase purchases are coming through and utilize in the U.S., right, where it's available, the BPP program. And just as a reminder, Kyle, you know, even though dentists don't make payments until next year, through our relationship with a financing company that is doing this for us, we get paid immediately. So, it's not a working capital issue for us. 
Kyle Bauser: No, [brainer]. Okay. Appreciate it. That's all from me. I'll jump back in queue.
Todd Norbe: Thanks, Kyle.
John Beaver: Thank you, Kyle.
Operator: And we can take our next question. This will come from Bruce Jackson with The Benchmark Group. 
Bruce Jackson: Hi, thank you for taking my question. So, we had the McGuire study data come out with the six month follow up earlier this year, [expecting] we could get an update, when we might expect the 12 months data to come out? And then if you could help us with the potential significance of the 12 month data and the radiographic there? 
Todd Norbe : Yes. So, Bruce, you know, that's being worked on right now. To start gathering that information, you know, whenever I give a date on clinical stuff it tends to always get pushed out, but I would imagine by, you know, probably latter part Q1 into Q2, we should have something there on that. And why is that significant? Because seeing is really believing, you know, we know that the study was powerful, and showing how it's minimally invasive, positive pros, and, you know really impactful information. But at 12 months, I think that will be the further confirmation around how, you know, effective the technology is. Now, I’ll just give you a comparison. So, you know, we're doing a lot in the endodontic space right now. And when an endodontist cleans out a root canal in all the ancillary canals that are part of that he visualizes it in that [tooth structure], they take a radiograph, and immediately they can see the impact of the technology. When you're obviously trying to grow backbone and so forth. That's a little bit of a delayed reaction, but you know, we expect obviously, to see really positive results as I mentioned, end of Q1 sometime Q2.
Bruce Jackson: Okay, great. And then my other question is about the DSOs. Just tell us a little bit about is there anything that they need to see in order to become bigger customers of yours, and when might, how do you anticipate that business developing over the course of 2021?
John Beaver: Yeah, as I mentioned, you know, we have multiple trials and Phase 2 trials in place. And part of our strategy from day one has been, in our belief based off of what we've seen parallel in other areas where, when organized dentistry specifically, you know, DSOs, corporate dentistry, get involved with a technology that, you know, obviously accelerates the adoption curve, but to your point and what they want to see, they want to see that they can generate incremental dollars in revenue and the return on investment is there. We validated that in many cases. What also helps them and you think about the DSO, many of them want to expand the ability for their GPs become more of super GPs and do multiple procedures. Our technology allows them to do that, and it somewhat de-skills it in a way that allows a general practitioner to get unbelievable results.  And having the specialty community, you know, support and endorse the technology at the endodontic community side, specialty side, as well as the perio community side adds additional, you know, horsepower behind this adoption curve. So, we expect that to really pay some really nice dividends for us as we roll into 2021.
Bruce Jackson: All right, that's super. Thank you very much.
Todd Norbe: Thanks Bruce.
John Beaver: Thank you, Bruce.
Operator: [Operator Instructions] We will take our next question. This will come from Anthony Vendetti with the Maxim Group.
Anthony Vendetti: Thanks, John. Thanks, Todd. I just wanted to talk a little bit, I may *have missed some of it because I have a bunch of calls going on at the same time, but did you give an update on Heartland and ClearChoice?
Todd Norbe: Didn't provide anything specifically Anthony. You know, we're in Phase 2 with Heartland. And if you recall, you know, the first phase was four of their top clinicians, and all four of those units were purchased based off of the return on investment that we needed to show. The Phase 2 is really what I would call more of another test of, you know, the average dentist within Heartland, can they also replicate that type of return on investment. So, that's going on currently. And with ClearChoice we have, you know, what I would call a probably first of its kind trial with them, that allows them to hopefully market this technology in patient reported outcomes, if you're familiar with, you know, their model, literally providing full restorative techniques on a full day basis with a whole team around that. And the early read from the four practitioners that are involved here is very positive. So, we're very optimistic that this could be a very good win for the BIOLASE company here, and also, if you probably see their ads on TV, the goal would be to incorporate hopefully our message in those ads as well.
Anthony Vendetti: No, that would be great. Just in terms of, you know, I know, Waterlase is your primary workhorse product, can do 80 different things, with the epic system, we're – is that going to be just, you think an ancillary product or could that be a growth driver due to this significantly lower or no aerosol situation with that, versus the current standard of care? I mean, how do you – how is that playing out now, and do you expect that to be a driver in 2021?
Todd Norbe: We're seeing that as a driver in 2020, and we expect it to be a driver in 2021. We're seeing adoption here, the DSO side, small midsize DSOs, adopting it, and incorporating it within their protocols for the reason you mentioned. You know, it literally eliminates aerosolization when you compare it to, you know, an ultrasonic scaler. So, hygienists are typically, you know, the most concerned around COVID-19. And this also provides an opportunity to really get after what I would call the first swim lane, where periodontal disease starts. And if it's not addressed early on, then it gets more severe, and that requires, obviously, you know, more surgery that most patients would prefer not to be involved with.  So, the preventative side of it, at the hygiene appointment, is really powerful. But we're also, Anthony, not only selling the Epic Hygiene diode unit, but we're also selling the Epic X, a combination of both. And that's including the* hygienists , as well as the general practitioner and that sales bundle.
Anthony Vendetti: Okay, great. All right, thank you very much. I'll hop back in the queue.
Todd Norbe: Thank you.
John Beaver : Thank you, Anthony.
Operator: And our next question will come from Ed Woo with the Ascendiant Capital.
Ed Woo: Yeah, congratulations on the quarter. My question is more on the fourth quarter. You know, typically the fourth quarter has been seasonal for you guys in terms of you know, everybody trying to use up their budgets, do you think we should see that again this year, and also is there any differences in the domestic market versus international in Europe, particularly as we're, you know, seeing some lockdowns, currently going on in Europe?
John Beaver: Yeah. So, Ed, I'll answer that. We do expect to see some uptick in the fourth quarter, as you said, as dentists want to purchase capital and take the depreciation write-off made at year. iWhat we don't know and was, you know, unclear to us is, how is that impacted by COVID? You know, I think, depending on how dentists feel about the wintertime, you know, that may temper some of that. We just don't know, and so it's hard for us to predict. So, we’ve never been through this before. In terms of international versus U.S., you know, we are seeing, you know, more international offices close than certainly U.S.
Ed Woo : Great. Well, thanks for answering my question. And good luck.
John Beaver: Thank you, Ed.
Todd Norbe: Thank you, Ed.
Operator: [Operator Instructions] And we will take our next question. This will come from [ Yamil Martin], Private Investor.
Unidentified Analyst: Hey, guys, how are you guys doing? Can you hear me?
Todd Norbe: Doing well, thank you.
Unidentified Analyst: Excellent, excellent. Hey, quick question for you guys. As a private investor, who happens to have a lot of shares in the company, is there a path that you guys are looking at? There's a lot of concern over the reverse split? Is that any concern for you guys right now? I know, you guys said, you wanted to get there organically to the NASDAQ requirement, but as investors, you know, it's a concern for us.
Todd Norbe: Well, yeah. There are many ways right to get [NASDAQ applicants], organically is one, reverse split is another, we're evaluating all options. As you know, a reverse split doesn't change the market cap of the company and the value of the company is still the same. It’s just a little bit different math to get there.
Unidentified Analyst: Okay. And also, you know, there's concerns about, you know, the actual price being manipulated by shorts and all that, is there something that you guys are looking to up private investors all with this, if this is indeed happening?
Todd Norbe: Well it's interesting, one of the advantages of a reverse split would be to reduce the amount of short that is going on because the price would be higher. And so that would be, you know, an advantage in one way to maybe tamp down that a little bit. Plus, another advantage of a reverse split in getting the price higher is, you know, having a price over $1 or over $5 would certainly open up our stock to more institutional investors as well. So, there's some of those benefits.
Operator: And at this time, I would like to turn the call back over to Todd Kehrli.
Todd Kehrli: Thank you, operator. On the investor relations front, BIOLASE management will be attending The Benchmark Company Discovery One on One Virtual Investor Conference next week on November 18. If you're participating in this conference, please schedule a visit with us. We would enjoy the opportunity to talk with you more. In the meantime, we look forward to updating you again on our continued progress when we report our fourth quarter results. Thanks again everyone for joining our call today. This concludes our call. Have a great day.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.